Operator: Ladies and gentlemen, thank you for standing by. At this time, I would like to welcome everyone to the IQVIA second quarter 2022 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, please press star, one again. As a reminder, this call is being recorded. Thank you. I’d now like to turn the call over to Nick Childs, Senior Vice President, Investor Relations and Corporate Communications. Mr. Childs, you may begin your conference.
Nick Childs: Thank you. Good morning everyone. Thank you for joining our second quarter 2022 earnings call. With me today are Ari Bousbib, Chairman and Chief Executive Officer; Ron Bruehlman, Executive Vice President and Chief Financial Officer; Eric Sherbet, Executive Vice President and General Counsel; Mike Fedock, Senior Vice President, Financial Planning and Analysis; and Bryan Stengel, Associate Director, Investor Relations. Today we will be referencing a presentation that will be visible during this call for those of you on our webcast. This presentation will also be available following this call in the Events and Presentations section of our IQVIA Investor Relations website at ir.iqvia.com. Before we begin, I would like to caution listeners that certain information discussed by management during this conference call will include forward-looking statements. Actual results could differ materially from those stated or implied by forward-looking statements due to risks and uncertainties associated with the company’s business, which are discussed in the company’s filings with the Securities and Exchange Commission, including our annual report on Form 10-K and subsequent SEC filings.  In addition, we will discuss certain non-GAAP financial measures on this call which should be considered a supplement to and not a substitute for financial measures prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the comparable GAAP measures is included in the press release and conference call presentation. I would now like to turn the call over to our Chairman and CEO, Ari Bousbib. 
Ari Bousbib: Thank you Nick, and good morning everyone. Thank you for joining us today to discuss our second quarter results. IQVIA delivered strong financial results this quarter despite the dynamics of the broader macro environment and the various global geopolitical issues. Let me address a few of the key ones. Some of you have continued to ask about the impact of biotech funding on the CRO industry. As we have said on several occasions, the recent decline in biotech funding has not had any significant impact on our business. Our exposure to pre-commercial EBPs remains at just over 10% of our backlog. We have not seen an impact on bookings or RFPs, nor any increase in cancellations or delays in clinical trial work from the slowdown in biotech funding. Actually, RFP dollars from the overall EBP client segment continued to grow double digits in the quarter. In China, the government-imposed COVID lockdowns had a modest impact on our second quarter results, mostly from disruptions to our clinical and laboratory operations. Our commercial business was virtually unaffected. Our experience in managing through prior lockdowns during the pandemic has been helpful in minimizing the operational impacts on site closures. Our guidance assumes that modest impacts on COVID-related lockdowns in China will continue through the end of the third quarter. In Ukraine, we continued to work with sites and sponsors to ensure the safety of our employees and patients while working to mitigate trial disruptions caused by the ongoing crisis. In Russia, we continue to conduct trials currently underway to ensure the safety of patients already enrolled in clinical trials, but we are moving recruitment on new trials to other countries. The financial impacts of the Russia-Ukraine crisis are tracking in line with the expectations we communicated back in April.  More generally, we are of course monitoring, as are you, the possibility of a recession. I would just note that over the past 20 years, IQVIA along with the broader CRO industry has shown resilience to economic downturns. During recessionary times over the past two decades, annual S&P 500 revenue contracted by as much as 10% while IQVIA’s clinical business and the CRO industry as a whole never experienced a year of revenue decline. The resilience of the CRO industry likely reflects the long cycle nature of our business, as well as of course the mission critical importance of clinical research and more generally the defensive nature of healthcare. With that as background, let’s review the second quarter. Revenue for the second quarter grew 3% on a reported basis and 7.1% at constant currency. The fully $6 million beat above the midpoint of our guidance range was primarily driven by the timing of pass-through revenues versus our expectations, as well as some operational upside. Compared to last year and excluding COVID-related work from both periods, our base businesses grew 16% at constant currency on an organic basis. Ron will provide additional details in his remarks, including COVID-adjusted numbers for each of our segments. Second quarter adjusted EBITDA increased 10.8%, reflecting our strong revenue growth and ongoing cost management discipline. Second quarter adjusted diluted EPS of $2.44 grew 14.6% driven entirely by our adjusted EBITDA growth.  Let me provide some more updates and color on the business in the quarter. The continued strong performance at IQVIA is driven by our highly differentiated capabilities. As you know, the key differentiator for us in the clinical and commercial spaces is IQVIA’s connected intelligence. Let me give you a few examples of how IQVIA’s applications here help our clients solve their most complex problems. IQVIA’s AI-driven next best action platform helps our clients integrate multiple data sources, transforming raw data into personalized recommendations to sales, marketing and medical personnel which of course leads to deeper relationships with healthcare providers. In the quarter, a top 10 pharma client chose IQVIA’s solution to completely transform their omnichannel commercial engagement model and to improve their go-to-market efficiency across multiple brands in eight countries by up to 30%. Another example in the quarter, we were selected by a top 20 pharma client to optimize the delivery of raw brand content directly to healthcare providers for one of their respiratory brands. Our solution here connects digital and field sales channels to deliver highly personalized content that results in high quality, seamless brand experience for healthcare providers. This will improve this client’s digital engagement metrics by 3.5 times. Another area where demand has been growing is pharma co-vigilance. Our platform here combines a unique catalog of over 500,000 safety-specific terms and patterns with natural language processing to mine vast amounts of online data and to identify potential adverse events. In the quarter, another top 10 pharma client selected our solution to reduce the risk of non-compliance and to increase data accuracy, ultimately improving their efficiency by up to 75%. Beyond mass pharma, our commercial solutions are also resonating with EBP clients, especially when they decide to commercialize their assets on their own following approval. For example, in the quarter we contracted with a leading EBP client to implement and manage their entire end-to-end commercial information management and to support their patient engagement and access programs. This includes data provisioning, massive data management, and data modeling. Our ability to offer these services on a fully integrated platform will allow for a more streamlined implementation, generating savings of up to 20% versus multi-vendor solutions. As you know, IQVIA continues to be the global leader in real world evidence. In the quarter, a top 10 pharma awarded IQVIA a major project in medical affairs. The project leverages our AI and ML capabilities to provide near real-time disease insights across five different therapeutic areas. These insights will help identify misdiagnosis and [indiscernible] treatments which will in turn improve patient outcomes.  As you know, our ECOA, or Electronic Clinical Outcomes Assessment platform has won multiple awards for its breakthrough patient engagement innovations. The product includes a library of over 1,500 prebuilt clinical outcome assessments which enables sponsors to deploy assessments to patients up to 14 weeks sooner than competitors’ offerings. This efficiency reduces risks to study start-up timelines and allows our clients to capture more feedback from patients, ultimately amplifying the patient’s voice real time.  A top five sponsor recently engaged IQVIA to couple this ECOA platform with our patient randomization tool so that we eliminate redundant workflows, improve data accuracy and patient compliance, thereby reducing site on-boarding activities by an estimated 50%.  Finally, in the overall R&D as business, we continued our strong momentum, delivering over $2.6 billion of total net new business in the quarter, including pass-throughs. The services bookings also remained at the historic high we have seen recently of over $1.9 billion. This resulted in a second quarter contracted net book-to-bill ratio of 1.34 including pass-throughs, and 1.32 excluding pass-throughs. Over the last 12 months, our contracted net book-to-bill ratio was 1.32, both including and excluding pass-throughs. As you can see, there continues to be strong positive momentum across the business and an unprecedented level of engagement with our clients across our portfolio of commercial and clinical businesses despite the broader environment.  I will now turn it over to Ron for more details on our financial performance.
Ron Bruehlman: Thanks Ari, and good morning everyone. Let’s start by reviewing revenue. Second quarter revenue of $3.541 billion grew 3% on a reported basis and 7.1% at constant currency. In the quarter, COVID-related revenues were approximately $250 million, which was down about $300 million versus the second quarter of 2021. In our base business, that is excluding all COVID-related work from both this year and last, organic growth at constant currency was 16%.  Technology and analytic solutions revenue for the second quarter was $1.408 billion, up 4.1% reported and 9.4% at constant currency. Excluding all COVID-related work, organic growth at constant currency in TAS was 10%. Research and development solutions second quarter revenue of $1.950 billion was up 3.1% reported and 6% at constant currency, and excluding all COVID-related work, organic growth at constant currency in R&DS was 22%.  Contract sales and medical solutions, or CSMS second quarter revenue of $183 million declined 5.7% reported, but grew 2.1% at constant currency. Excluding all COVID-related work, organic growth at constant currency in CSMS was 7%.  First half revenue of $7.109 billion grew 3.8% on a reported basis and 6.9% at constant currency. In our base business, that is excluding all COVID-related work, organic growth at constant currency for the first half was 14%. Technology and analytics solutions revenue for the first half was $2.847 billion, up 5.4% reported and 9.6% at constant currency. Excluding all COVID-related work, organic growth at constant currency in TAS was 10% for the first half. R&D solutions first half revenue of $3.884 billion was up 3.3% at actual FX rates and 5.3% at constant currency. Excluding all COVID-related work, organic growth at constant currency in R&DS was 19%. Finally, contract sales and medical solutions, or CSMS first half revenue of $378 million declined 2.3% reported and grew 3.9% constant currency. Excluding all COVID-related work, organic growth in constant currency at CSMS was 6%. Now let’s move down the P&L. Adjusted EBITDA in the quarter was $800 million, representing growth of 10.8%, while first half adjusted EBITDA was $1.612 billion, up 10% year-over-year. Second quarter GAAP net income was $256 million and GAAP diluted earnings per share was $1.34. For the first half, we had GAAP net income of $581 million or $3.02 of earnings per diluted share. Adjusted net income was $466 million for the second quarter and adjusted diluted earnings per share grew 14.6% to $2.44. For the first half, adjusted net income was $943 million or $4.91 per share.  As already highlighted, R&D solutions delivered yet another strong quarter of new business. This graph that we’re showing here shows the growth of our backlog over the past few years at actual currency rates and it demonstrates the sustained strength of our clinical business through the COVID pandemic.  You’ll recall that as our bookings reached record levels during the pandemic, many of you expressed concern about a looming so-called COVID cliff, and we told you then that our COVID-related bookings would be replaced by new programs that spanned a breadth of our therapeutic expertise, and in fact that’s what happened. As of June 30, our contracted backlog stands at a record $25.6 billion, including pass-throughs. That’s a 50% increase over about three years. The COVID contribution to our backlog, which peaked at 11% early in 2021, is now approximately 6%. Let’s turn to the balance sheet. As of June 30, cash and cash equivalents totaled $1.428 billion and gross debt was $12.767 billion, resulting in net debt of $11.339 billion. Our net leverage ratio as of June 30 was 3.58 times trailing 12 months adjusted EBITDA. Second quarter cash flow from operations was $329 million and capex was $161 million, resulting in free cash flow of $168 million for the quarter. This was somewhat lower than prior quarters, and it mainly reflected the timing of cash collections, which we expect to normalize in the second half. You saw in the quarter that were quite active in the market, repurchasing $590 million of our shares, and this puts our year-to-date share repurchase activity at just shy of $1 billion. This leaves us with slightly over $1.5 billion of share repurchase authorization remaining under the current program. Moving to guidance, our full year 2022 revenue expectation at constant currency remains unchanged. On a reported basis, the strengthening of the dollar since April has caused an incremental full-year revenue headwind from foreign currency translation of approximately $125 million, based on rates as of this Monday, July 18. We’re updating our revenue guidance to reflect this. For the full year, we now expect revenue to be between $14.4 billion and $14.550 billion, which represents year-over-year growth of 7.4% to 8.5% at constant currency and 3.8% to 4.9% at actual FX rates. As a reminder, this equates to low to mid-teens organic growth at constant currency, excluding COVID-related work. Our projected revenue growth includes just over 150 basis points of contribution from M&A.  Since FX fluctuations have had a minimal impact on our profit, our adjusted EBITDA guidance remains unchanged. We are tightening the guidance range to be between $3.345 billion and $3.395 billion, which represents year-over-year growth of 10.7% to 12.3%. Our adjusted diluted EPS guidance also remains unchanged. We are tightening the range here to between $10 and $10.20, which translates to year-over-year growth of 10.7% to 13%.  Our full year 2022 guidance assumes that foreign currency rates as of July 18 continue for the balance of the year. Since issuing our initial guidance at our analyst and investor conference in November, FX fluctuations have caused full year revenue headwinds of over $400 million.  Moving to our third quarter guidance, we expect revenues to be between $3.515 billion and $3.565 billion, or growth of 8.4% to 9.8% on a constant currency basis, and 3.7% to 5.1% on a reported basis. Excluding COVID-related work, we expect organic revenue growth at constant currency to be in the low to mid teens in the third quarter. Adjusted EBITDA is expected to be between $805 million and $820 million, up 10.6% to 12.6%, and adjusted diluted EPS is expected to be between $2.34 and $2.42, growing 7.8% to 11.5%.  To summarize, we delivered a very strong second quarter. Our base business delivered mid-teens organic growth at constant currency, excluding COVID-related work. Our R&DS business had another strong bookings quarter with over $2.6 billion of net new business. Contracted backlog at the end of the quarter hit a new record of $25.6 billion, up over 7% year-over-year. We repurchased nearly $600 million of our shares while maintaining our net leverage ratio of approximately 3.6 times trailing 12 months adjusted EBITDA, and finally, we adjusted our revenue guidance to reflect changes in foreign exchange but held our earnings guidance unchanged. With that, let me turn it back over to our Operator for Q&A.
Operator: [Operator instructions] Our first question comes from Sandy Draper from Guggenheim. Please go ahead, your line is open.
Sandy Draper: Thanks very much, and congratulations on a solid quarter in a tough environment. I guess I’m actually going to let other people ask about R&D solutions - I’m sure there will be a lot of questions there, but my question, Ari and Ron, is on the TAS side. We’re not out of COVID but certainly getting further past it and trying to act in a more normal way. Have either buying patterns or what people are focused on changed at all, so was there a certain focus during COVID of these are short-term tech solutions we need because trials are being shut down, or whatever - you know, we can’t get sales people into doctor’s offices. As we’re coming out, is the general trend persisting or are you seeing any shift and refocus on new areas on the tech side? Thanks.
Ari Bousbib: Yes, thank you Sandy, and good morning to you. I’d start answering your question by simply saying there is absolutely none of those concerns. We haven’t seen any of that. We’re very pleased with the continued growth of our TAS business, really across the board, and you know that we like to think of our business in three buckets: the high growth ones, which is real world and technology, and that represents - Mike, I’m going to say about 40%--
Mike Fedock: More like 45.
Ari Bousbib: --45% of the total, and that’s experiencing continued growth, hasn’t abated during COVID at all, and continues to sell through at the same pace. Then we have the labor-based consulting, primary market research, analytics business which grows mid to high single digits and has been very strong through COVID, and continues to be strong essentially at the same pace, and that’s about--
Mike Fedock: Twenty-five percent or so.
Ari Bousbib: --25% approximately, so the last balance, the 30% is basically our historic IMS data business, and that’s kind of flattish to up 1% or 2%, quarter-in, quarter-out, and also has been essentially flat in terms of its growth through the COVID crisis. As Ron mentioned, constant--organic constant currency revenue growth for TAS excluding COVID was 10% in the quarter and also 10% for the first half, so again really we’re not seeing anything at all that’s changed versus the pandemic peak, or before the pandemic peak. Continued strong momentum. Thank you Sandy.
Operator: Our next question comes from Eric Coldwell from Baird. Please go ahead, your line is open.
Eric Coldwell: Thank you, good morning. Wanted to hit on capital structure. With the obvious comments about looking at the potential for a recession, rising interest rates, etc., a number of companies have changed their capital allocation and capital structure strategies. I’m curious if you could talk about what you’re doing on those fronts, maybe discuss any terms, maturities or issues with the various fixation instruments you have on your variable rate debt, because I do believe the majority of your debt is effectively fixed at this point, and then what is embedded in your interest rate assumptions for the year and how much has ’22 guidance in total been impacted from your first guidance to current guidance in relation to the interest rate increases that we’ve seen so far. I know that’s a lot, but--
Ari Bousbib: No, I wouldn’t expect less from you, Eric. You ask one question and you manage to pack 10 questions in one!
Eric Coldwell: [Indiscernible] comments, right?
Ari Bousbib: It’s a topical question, obviously, and you can imagine we are looking at the global environment, the rates. You saw the ECB bump of 50 basis points this morning, and we do have some euro debt, as you know. Obviously there is a point at which those changes cross certain thresholds and it does have an impact on our capital structure, and we are modeling all of those and making different scenarios as to how we change or not our capital allocation strategy. For now, it remains what it was. I’m going to ask Ron to give you more detail and address the specifics of your question. Ron?
Ron Bruehlman: Yes Eric, to your specific question, I think you had asked about our--in essence about whether our debt and how much of our debt is fixed rate versus variable rate, so how much is affected going forward. I know this is of interest to the group in any event. About 45% of our debt is fixed rate, just shy of 60% is fixed with swaps. We did have a euro floor that fixed even more of our debt up until recently, but we’re about at the floor now with the recent ECB decision, so--
Ari Bousbib: Up to today, it was, like--
Ron Bruehlman: Seventy-five percent--
Ari Bousbib: Seventy-five percent fixed.
Ron Bruehlman: Yes, but going forward it will be more like just shy of 60% fixed. You had asked about what our guidance assumes, and we’ve pretty much followed what the market consensus is there in the U.S. about assuming a couple of 75 basis point increases in the U.S. in July and September, and 25 basis point increases in the fourth quarter two times. For the euro, we have a series of increases, smaller increases assumed out through the balance of the year, totaling just slightly over 100 basis points baked into our numbers. That’s pretty much in line with the market consensus right now. Now, you asked also about how much has interest expense--the increase in rates affected our interest expense assumptions since November, I guess, when we put our initial guidance out. I’ll have to go back and look at that. It’s obviously had an impact, not so much in the first half of the year but more in the second half of the year, obviously, as the rate increases or the pace of rate increases has been back-end loaded in the year. We’ll have to come back with an answer to that, unless Nick has it handy.
Nick Childs: Yes, right now we’re thinking it’s somewhere between $50 million to $75 million that we’re seeing on interest, but you’ve seen that we’ve been able to hold the EPS number, so we’ve had some favorability in terms of our assumptions on share count and all of that below the line, that has kind of helped us manage that a little bit better.
Operator: Our next question comes from Elizabeth Anderson from Evercore. Please go ahead, your line is open.
Elizabeth Anderson: Hi guys, thanks so much for the question. Maybe I’ll take Eric’s and have a combined combo. One, if you could talk about the assumptions regarding China specifically embedded in your 3Q guidance, and then looking at the guidance that you gave for 3Q, it implies a nice EBITDA step-up in the fourth quarter. You guys obviously did a nice job managing the SG&A line in particular this quarter, so I just wanted to understand there if there was something specific to call out that was driving that step-up in EBITDA there, or what’s the explanation there. Thanks.
Ari Bousbib: Yes, thanks Elizabeth. These are two very distinct questions, so let me start with the second one, the fourth quarter. Look - fourth quarter, there is some level of seasonality in our business, historically it has always been the case both on the commercial side and on the clinical side, and the fourth quarter traditionally is always the strongest one.  You are specifically alluding to EBITDA, and I would point that if you go back and look in general, our margins in the fourth quarter are higher than, let’s say, sequentially in the third quarter, for example, and in general it’s about a point higher - you know, maybe a little less than that, maybe a little more than that, depending on the year. That is because on the commercial side, it’s the end of the year, a lot of the budgets tend to be spent and a lot of purchases get done last minute, and obviously both our clients want to do that before they close the year and our sales force pushes, as always, to make the quarter and so on, so forth for more sales at the end of the quarter and at the end of the year, so there’s that kind of momentum on the commercial side, whether it’s data or analytics or just across the board on our commercial portfolio. That’s always the case year in, year out, and this year it’s a little bit stronger than might have indicated in prior years, but it’s not inconsistent.  On the clinical side, it’s all driven by the execution of the backlog and when and how it converts, so that’s really--you know, we do a roll-up project by project of when we anticipate the work will be done and costs incurred and revenue recognized, and we do that bottom-up and that’s where it comes out. Again, in general fourth quarter tends to be stronger in the clinical side as well historically, and that is probably because people want to try to execute the work before the end of the year, so that’s not unusual. Agree that’s sequentially a bit more than prior years, but again nothing inconsistent. Ron, you want to say something?
Ron Bruehlman: Yes, just to answer your question on China and the impact there, modest impact in Q2. We’re assuming a continued modest impact in Q3, mainly around our lab business and clinical trials as not all the sites are open in areas where there’s shutdowns or restrictions. The only caution I would say there is just that none of us knows exactly what’s going to happen in China, where future lockdowns might happen and so forth, but right now we’re not expected a big impact.
Ari Bousbib: Yes, just a remark on China, bear in mind it’s less than 3% of our total revenue. We have a strong presence there relative to our competitors and we are doing very well. On the clinical side is where the impact is. Remember, on the commercial side we have exactly zero impact from the lockdowns - that was the case during the pandemic at the peak of it, and it continues to be the case today.  On the clinical side, obviously the issue is accessing sites, and when it’s closed, it’s closed. But we have learned during the pandemic how to work with that and to do remote visits, etc., and so far at least, the impact from China lockdowns, which have been extensive, as you know, in Shanghai and Tianjin and some other areas, we have been able to manage through that and whatever financial impact was essentially absorbed in our numbers. Thank you Elizabeth.
Operator: Our next question comes from Derik de Bruin from Bank of America. Please go ahead, your line is open.
Derik de Bruin: Hi, good morning. Thank you for taking my question. I’ve gotten a bunch of questions from investors along the lines of I think people appreciate that the RD&S business was very resilient during the past recessions, but you’re absolutely right - having done the Quintiles IPO, I remember the growth rates back then. I think the question I’ve gotten some on the TAS business, and just sort of, like, how that goes, particularly on the consulting side of the business, and any sort of potential impact from recession there. Thank you.
Ari Bousbib: Yes, thank you for the question. Look - the resilience that’s obvious on the clinical side, it’s born by the long-term history, as I mentioned in my introductory remarks. On the commercial side, you are correct - I mean, I guess you pointed to consulting because consulting is usually the most discretionary type of spend at our clients. So far, not one--I would say not one noise, not one--nothing. We are looking--I am asking every day, what is going on in the business in every aspect, and I can tell you there is no indication whatsoever that somehow people are curtailing their budgets on the commercial side.  Bear in mind, the last big recession we had along with the housing crisis in the end of 2008, ’09, ’10, the commercial business was affected really by different factors. There were very large pharma consolidations, and on the commercial side when you have a large pharma merger, you go from two clients to one client, so that automatically affects your revenues. Not so much on the clinical side - generally if you are in--if the two pharma companies that merge are in the same therapy, the authorities won’t let you merge and generally when pharma merge, they have complementary therapies and the clinical trials continue. So yes, those laws, that pharma consolidation wave that took place at that time, a lot of it driven by tax considerations, affected our commercial business. We’re not seeing any of that so far. Secondly, there was a unique phenomenon then, which was that there was an unusual large number of patent expiries, and those LOEs were sort of accelerating the 2008 to 2012 time frame. There was a so-called patent cliff, and that was coupled with an unusually low number of new product approvals. The pharma commercial business is obviously driven by the net of new approvals versus patent--or loss of exclusivity, and usually that’s a net positive. At that time, there was unusual circumstances where we had a trough in new approvals and a peak in loss of exclusivity, and that was a reverse trend.  But today, we don’t see that. We know the pipeline, we know the molecules in the pipe that are supposed to be approved and the expiries and so on, and we see none of that anytime soon, so we’re not concerned and we feel that the commercial business is fairly well insulated as well.  Thank you.
Operator: Our next question comes from David Windley from Jefferies. Please go ahead, your line is open.
David Windley: Hi, thanks. Good morning. Thanks for taking my question.  Ari, you’ve touched on China and Ukraine very effectively. The R&DS business seems to be navigating through that really, really well. Some of the things that we’ve heard are that in addition to those acute issues in certain parts of the world, that we have kind of general staff burnout like we have in the broader healthcare system, that sites are overwhelmed and site-level turnover and things like that are affecting the capacity of the site network that you might be using. I wonder if--you know, again, you guys seem to be navigating that really well, and so I wondered if you could talk to how you are supporting the sites to be able to continue to get your trials processed in an environment where the global capacity for sites is somewhat affected.
Ari Bousbib: Yes, so I assume you mean globally, not just Russia and Ukraine. Look - Russia, Ukraine, the first part of your question, we addressed that, as you said, quite effectively. That doesn’t mean that it was easy or that it didn’t consume an enormous amount of management attention and work. Thankfully we were able to reallocate resources and clinical work to other sites. Now, this itself does not add incrementally to the existing burden of the existing sites. Your second point is more--I think is truly valid. It is true we have a lot of work to execute, as mentioned many times. This is our single most important operational challenge, that is execution, and that requires people. People recruiting, retention and development is our single most important operational challenge in the current environment. I think I’ve mentioned before, and I see the trend continuing, the high attrition levels we’ve seen are somewhat plateauing and diminishing. That may have something to do with perhaps a more recessionary environment and people less likely to jump ship. It also may have to do with the fact that we really have a strong book of business and we are, hopefully, I want to believe, a more exciting work environment and more exciting company to be part of. We’re doing our part to try to retain our people. The sites themselves, we are not seeing--I’m sure if you asked specifically the individual, they’d say yes, I’m burnt out. Are we asking people to work more and to be more productive and so on? Yes, but again that’s just the nature of the type of work that we do. We’re not seeing any execution difficulties as a result of people being, quote-unquote, burnt out. We’re not. When people are burned out, they either quite or they ask to be allocated to something else, and that’s what we try to do.  We’ve always tried to prioritize the wellbeing of our employees, and during the pandemic that has accelerated. I may not have mentioned this before, but even for myself on downwards, we’ve had a dramatic change in tone and how we address issues with employees’ work flexibility. We do live in a different environment where the considerations for employees, valued employees and skilled employees to remain at the company involve more than just work and compensation, and so we are doing our part to address that.  We will be 90,000-plus people by the end of the year, and we continue to hire. In this year, we have hired by the end of the year more than 25,000 people just to replace attrition and to support the growth. We are really a hiring machine. We’ve dramatically, dramatically improved the level of sophistication of our human resource management functions around the world, and the type of analytics and artificial intelligence tools we use to track our employees’ workload are really very unprecedented, so it is an issue and we are managing it. You wanted to add something, Mike?
Mike Fedock: Yes, I think Dave, just on the color on the sites, I think one thing we’ve seen is sites engaging with our on-site support offering we have within R&DS, so they’re reaching out to us to try to assist them. I’m not going to comment to say if our sites are burnt out or not, but clearly they have a lot of work to do and we’re providing a service to help them execute that work, which is great.
Operator: Our next question comes from Jack Meehan from Nephron Research. Please go ahead, your line is open.
Jack Meehan: Thank you, good morning. Ari, I was hoping you could share more perspective on the R&D environment, just given your RFP commentary. Looking back, we had two banner years of funding in 2020 and 2021. Things have obviously slowed down here in the public markets in 2022. As you look at the things you’re bidding on now, do you have a sense for when they were funded? I guess I’m just trying to get a sense for where you think we are in this funding cycle and it showing up for late stage work. 
Ari Bousbib: Okay, well thank you and good morning. This is obviously a good question. Again, I mentioned before for the commercial side, I do the same on the clinical side, I am almost daily asking a number of people to monitor activity. Again, I wouldn’t be saying this unless I had a certain level of confidence that so far, as of late last night, I can assure you there simply is no sign that the pipeline--you know, very early indicators is slowing down, the RFP volume is slowing down, and it is across the board in every segment. The second quarter was another quarter of record bookings. I can tell you, I think the awards--the volume was the second highest quarter ever, so we’re just not seeing it. I know there are concerns, and it is true that the volume of funding has gone down, it’s just not translating into a slowdown in either the strength and growth of our pipeline has never as large, record growth and volume, both dollars and numbers, or the RFP volume or the awards or the bookings. Now, you are asking a very, very pertinent question, which is the clients, whether EDP, midsize, large pharma who are requesting proposals or who are in the pipeline, when did they get their funding; and you are absolutely correct - it takes maybe three years, I’m going to say, before the funding raised today is actually spent. A lot of what is going to be disbursed by these companies that have booked--with whom we’ve booked business each quarter is cash that was raised in prior periods, so you want to try to say, well, funding is low now and therefore two years, three years from now, maybe bookings should go down. That’s just not the experience historically. Again, our business is not dependent on secondary public offerings from pre-commercial EDPs. It’s just not. Secondly, a lot of things are going to happen over the next few years where--you know, that’s the benefit of scale. Remember we are all over the world, we have the largest volume of business of any CRO in the world. We’re not exposed to one client, two clients, 10 clients, a segment, another segment, a geography, another geography. At any given point in time, we are working on well over 2,500 trials. We are a big ship, and like every big ship, it’s very hard. You’re not going to see from us 50% growth in a quarter, but on the other hand the converse is also never going to happen. We are a very big ship, and these disturbances in a long cycle business do not affect the direction of our business. Any other comments you want to make?
Ron Bruehlman: No, I think you covered it good. Next question?
Operator: Our next question comes from Shlomo Rosenbaum from Stifel. Please go ahead, your line is open. 
Adam: Hi, this is Adam on for Shlomo. What is the difference in FX headwind for 2022 the company is facing today versus what it was expecting on the first quarter earnings call?
Ron Bruehlman: It was $125 million, was the FX headwind on revenue on the full year versus what we guided in April.
Ari Bousbib: So guidance, you mean the second half? What is the question?
Ron Bruehlman: The actual FX headwind, so the FX headwind on our full year guidance--
Ari Bousbib: On revenue, yes.
Ron Bruehlman: --was $125 million.
Mike Fedock: Ninety basis points worse than last quarter.
Ron Bruehlman: Correct.
Adam: Thank you.
Operator: Our next question comes from Tejas Savant from Morgan Stanley. Please go ahead, your line is open.
Tejas Savant: Hey Ari, good morning. Just a couple of quick follow-ups here, and apologies for beating the R&D backlog to death here again. We’ve heard some estimates of up to a third of these pre-commercial companies possibly needing to raise capital at some point in ’23. Does that at the margin change your calculus at all in terms of who you choose to work with on a go-forward basis, or do you have perhaps higher risk adjustment triggers to your backlog as some of these companies get closer to needing a funding raise? Then if you could also comment separately on the M&A landscape and how you’re sort of thinking about that. I know last quarter, you’d said repos being the near term priority, but just curious as to your take on asset valuations.
Ari Bousbib: Well, okay Tejas, thank you very much and good morning. Look - again, your question on the pre-commercial EBPs needing more funding and having issues is a good theoretical question and correct one for the industry, we are just not exposed to those folks. We have very little of our backlog that’s with pre-commercial EBPs. Those pre-commercial EBPs have been carefully vetted because that’s our process, long pre-dating the current decline in biotech funding. We never take on a molecule that doesn’t have very solid science behind it, that our scientific experts have vetted and believe in. That in and of itself is a guarantee that the science will be developed and that the clinical trials will go on independently of the funding, because worst case scenario, that science will be purchased by large pharma. You are seeing it today. You are seeing a number of large pharma companies buying out pre-commercial EBPs because those pre-commercial EBPs may be running into funding issues but the science is good, therefore the trial will continue no matter what. That’s number one. Number two, we are not going to take into our backlog a company that doesn’t have funding. It just doesn’t happen for us. We do a thorough financial vetting of the project before we put it into our backlog, so we don’t have that exposure. Our business model is different than perhaps some other smaller CROs that essentially team up with pre-commercial EBPs and go around to raise funding and they put that into their backlog. We don’t do that, so this is the reason why we’re not seeing anything different to, again, neither the pipeline nor the RFP volume, nor the awards nor the bookings. Again, I’ve got a huge slew of numbers, I’m looking at a very fine level of granularity here. Look at oncology - if we look at our qualified pipeline, which is really--you know, with a very, very fine comb, our oncology pipeline, there are lots of pre-commercial EBPs, and that’s--I am speaking about the qualified pipeline, that’s really, really high probability, it’s up in the quarter 17% - one, seven - year-over-year. You look at internal medicine, where there’s a lot of rare disease stuff, 14% up in qualified pipeline.  The pipeline in general for EBP, the pipeline - the pipeline! - is 18% up year-over-year in the quarter. I mean, I’m looking at numbers that are literally record numbers, both in growth and in dollars and in volume, so I wouldn’t be speaking confidently if I didn’t have these numbers. Could I wake up tomorrow and the world is falling apart? I don’t know, but that that’s--you know? If I believed that, I wouldn’t cross the street. I’m looking at numbers. The rest is noise. Did you have another question? You had two questions.
Ron Bruehlman: Yes, what was the second question, Tejas?
Tejas Savant: It was on M&A and just prioritizing vis-à-vis repos. Thank you, Ari.
Ari Bousbib: Yes, M&A. Well, as you saw, we purchased almost a billion dollars in the first half of the year of shares. We did very little M&A, not because we didn’t want to. At any given point in time, we’ve always had lots - I mean, lots, hundreds of potential acquisitions, small, mid, large, and that’s our job. We’ve got corporate development activities. We rarely execute on those, whether it’s for strategic reasons or for financial reasons sometimes. As you said, valuations have been a little bit out of whack. It always takes time for those valuation expectations to come down and adjust to public market valuations and the environment. I think we’re seeing a little bit more of that, so perhaps we will have more opportunities to execute in the second half, I just don’t know - acquisitions are binary, but we don’t have--you know if the acquisition makes sense, it fits in our strategy and is nothing big here or out of whack with anything that we’ve done in the past. You know what we do. We’re very disciplined, and if it fits in our strategy on the commercial side or the clinical side, then we’ll go ahead and do it if the valuation makes sense. Thank you for your question.
Operator: Our last question will come from John Sourbeer from UBS. Please go ahead, your line is open. John Sourbeer from UBS, your line is open.
John Sourbeer: Hi, can you hear me?
Ari Bousbib: Yes. Yes, we can hear you.
John Sourbeer: Great. I know it’s a little early to comment on the ’23 guidance, but when you think about the headlines from biotech funding and then, on the other hand, the company has $1 billion in COVID RDS headwinds this year potentially easing comps for next year, do you think that the ’23 RDS growth is going to be in line with that long term low double-digit guidance that was provided last year at the investor day?
Ari Bousbib: Okay, let me give you ’23 guidance - just kidding! I don’t know. It’s a little bit early, and as we discussed over the course of the past hour, there are lots of macro dynamics and so on and so forth. We’re not going to start venturing. There is basically nothing different today from what we told you at the end of last year in the underlying dynamics and fundamentals of our businesses, strategically or operationally. What’s changed is the financial environment and the dynamics of risk because of Russia-Ukraine, because of the energy prices and so and so forth, but that doesn’t affect, as we’ve said over and over again, the underlying dynamics and fundamentals of our business. As I sit here today, those are the same as they were when we gave you long term guidance back in November. Thank you for your question. 
Operator: We are out of time for questions today. Mr. Childs, I turn the call back over to you.
Nick Childs: Okay, thank you everyone for joining us today. We look forward to talking to you after the call and on our next call at the end of the third quarter. If anyone has any other follow-up questions, we’ll be happy to take them. Thank you all for joining.
Operator: This concludes today’s conference call. You may now disconnect.